Operator: Good day, everyone, and welcome to the SSR Mining's Second Quarter 2021 Earnings Conference Call. [Operator Instructions]. At this time, and introductions, I would like to turn the call over to Alex Hunchak with SSR Mining.
Alex Hunchak: Thank you, operator, and hello, everyone. Thank you for joining SSR Mining's second quarter 2021 conference call, during which we will provide an update on our business and a review of our financial performance.  Our financial statements and management's discussion and analysis have been filed on SEDAR, EDGAR, the ASX and are also available on our website. To accompany our call, there is an online webcast, and you will find the information to access the webcast in our news release relating to this call. Please note that all figures discussed during the call are in U.S. dollars unless otherwise indicated. All references to cash costs and all sustaining costs are per payable ounce of metal sold. We'll be making forward-looking statements today. So please read the disclosures in the relevant documents. Joining us on the call today are Rod Antal, President and CEO; Alison White, CFO; and Stewart Beckman, COO. Now I'll turn the call over to Rod for his opening remarks.
Rodney Antal: Thanks, Alex, and good afternoon and good morning to you all, and thanks for joining today. I'm going to speak first to the fantastic second-quarter performance. The results have reinforced the quality and consistency of our operations as we reported a number of significant production milestones. At Copler, despite a planned maintenance shutdown in quarter two, we set a record for tonnes processed in the sulfide plant. At Marigold, we reported record material move for both the quarter and the half year period, while at Seabee and Puna, we delivered record quarterly and half year metal production.  In quarter two, we produced 200,000 gold equivalent ounces at an all-in sustaining cost of $961 per ounce. For the first half, we produced 396,000 gold equivalent ounces and an all-in sustaining cost of $983 per ounce. With another strong quarter, it is clear all 4 of our operations have been and continue to perform very well. This is especially pleasing given we have avoided the common risk associated with post-merger deterioration in operating performance as teams adjust to new leaders and priorities. For SSR, there is now almost 1 year post merger and with 4 quarters of really strong performance we have clearly delivered and more. This is a fantastic effort and a credit to everyone across the business. We are far from done and currently have a significant focus on the many potential growth opportunities within our portfolio. This operational strength has translated into strong cash generation as we delivered $100 million in free cash flow in the second quarter and $177 million in the first half, which is supporting our peer-leading capital returns program. In addition to our quarterly base dividend, we announced a meaningful NCIB program of up to $150 million in April this year, allowing us to purchase up to 10 million shares. I am pleased to report that we have been executing against our NCIB. And in the quarter, we purchased 4 million shares for cancellation, returning $70 million to our shareholders. One of the key disciplines we've implemented at SSR is to continually review and assess our asset portfolio. As part of our ongoing reviews, we determined the sustained royalty portfolio was noncore and wasn't well recognized nor valued by the market. We successfully ran a process leading to an accretive sale with total proceeds of $100 million that we announced last week. That valuation well exceeded the consensus value assigned to the royalty portfolio and showcases another example of our efforts to deliver positive returns to our shareholders. From a growth perspective, our robust balance sheet continues to allow us to invest in value-adding capital projects, while advancing our large organic development and exploration portfolio. We have a number of exploration updates coming from across the business in the coming months, which will allow you to follow our progress. Stu will give you a flavor of these a little later. The primary purpose of our development and exploration program is to establish our ability to sustain 700,000 to 800,000 ounces of gold production for at least 10 years. So turning to the next slide on ESG. Pleasingly, we continue to see positive health and safety trends at our operations, reflecting our focus and efforts to improve the well-being of our employees, contractors and communities. We are accomplishing these improvements despite pervasive challenges with Covid globally, where our mitigation efforts have enabled us to avoid any Covid-related shutdowns at our operations this year. Our commitment to our communities and the environment remains front of mind as we continue to deliver against our priorities outlined in our 2020 Sustainability Report. This included our commitment to begin establishing an action plan to achieve net 0 greenhouse gas emissions by 2050. We have also begun to improve disclosures on climate and water management by responding to the carbon disclosure project and aligning our reporting with the requirements of the task force on climate-related financial disclosures. We are proud of our continuous efforts to improve in our approach to ESG and we'll continue to not only report on our progress, but look for new ways to further our presence as a leading and progressive ESG steward. Moving on to the next slide. As I noted, our first half production of 396,000 gold equivalent ounces at the all-in sustaining cost of $983 per ounce compares favorably to our full-year guidance as shown on this slide. With an excellent first half, the outlook for the remainder of the year has us well on track to meet our guidance ranges. From a production perspective, our larger operations at Copler and Marigold are currently tracking to the midpoint of guidance. At Puna and Seabee we experienced better-than-expected half 1, largely as a result of the excellent operating results and one-off benefits, which Stu will discuss later. From a cost perspective, our all-in sustaining cost is tracking to the low end of guidance. We're investing in several high-return growth opportunities across our business, including capital projects like Copler flotation circuit, exploration drilling and investing in work to complete a number of technical reports, all designed to improve both the longevity and value of SSR. Stu will touch on a number of these shortly. Just moving on to the next slide on our quarterly highlights. We've already covered some of the quarterly highlights. I'm not going to spend much time on this slide. Alison and Stu will provide a more detailed overview in a minute. However, a few of the highlights that are relevant to consider for this quarter. Our safety performance continues to improve, and operationally, we are hitting records across the business. Financially, the strong operating result delivered an adjusted EPS of $0.46 per share. We generated $100 million in free cash flow, where the lion's share was used to support our NCIB dividend payments and debt servicing. And after all the cash outflows, we were still able to maintain a net cash position of over $500 million, providing us with the flexibility to advance our large organic pipeline. With that, I'll turn the call over to Alison, who will discuss our financial performance in more detail on Slide #7.
Alison White: Thanks, Rod, and hello, everyone. It was another outstanding quarter, and I'm pleased to speak to the results shown on Slide 7. Continuing our track record of success following last year's merger, we produced 199,673 gold equivalent ounces during the quarter and sold 201,504 gold equivalent ounces for a total of $377 million in revenue for Q2, delivering a solid first half of the year with $743 million in revenues.  Attributable net income for the quarter was $54 million or $0.25 per share and adjusted attributable net income was $101 million, with adjusted attributable earnings per share of $0.46. In the first 6 months of the year, attributable net income was $107 million or $0.49 per share and adjusted attributable net income was $203 million or $0.93 per share. On the right side of the slide, I'd like to provide some commentary on our reported $0.46 in adjusted earnings per share that is calculated based on our definition of adjusted attributable net income per share. We start with our attributable net income of $0.25 per share and then make adjustments to exclude the after-tax impact of specific items that are not reflective of the company's ongoing operations. Each of those items is outlined in the waterfall chart on the right of the slide, with the largest of the adjustments for $0.10 due to our recent announcement of the sale of our noncore royalty portfolio for $100 million, which remained accretive to our NAV against analyst consensus estimates and an adjustment for $0.11 related to the amortization of the fair value as a result of the adjustment to bump up the value of inventory in mineral properties at Copler at the time of acquisition. Additionally, I'd also like to highlight our review on inflationary pressures across the business, particularly given our ability to manage through those headwinds in the first half of 2021. First, we find that inflation in both Turkey and Argentina, which accounts for slightly more than half of our 2021 production guidance, is largely offset by the associated currency devaluation in those countries. This has proven true for us historically, and we anticipate that it will continue into the future. Across the business, we have been able to manage other cost pressures through our continuous improvement practices that we have ramped up since the closing of the merger last year. Stu will touch on these initiatives in more detail later on, but our refreshed approach towards supply chain and procurement practices is placing us in a position to better absorb any potential inflationary increases as we are focused on value extraction and cost savings. Turning to Slide 8, we can talk about SSR's balance sheet strength. SSR Mining closed the quarter with $908 million in consolidated cash, reinforcing our balance sheet strength as well as our significant liquidity. As noted previously, effectively 100% of our quarterly free cash flow was put towards share repurchases, dividend payments and debt servicing. We remain well positioned to continue our capital allocation policy, fully funding our portfolio of organic growth opportunities, while maintaining our significant capital returns to shareholders. Additionally, within the quarter, we amended our existing undrawn revolving credit facility, increasing the size of the facility from $75 million to $200 million with an additional $100 million accordion feature over a 4-year tenor. Our net cash to EBITDA ratio is 0.6x, again, demonstrating our resolve and placing us in the top quartile of our peer group. As we look ahead, we will remain active on our share buyback program, maximizing purchases where possible. Subsequent to the quarter's end, we purchased an additional 2 million shares for cancellation. Our share repurchases now total 6 million of the allowable 10 million shares under the NCIB, clearly demonstrating our commitment to deliver capital returns to our shareholders. In addition to the NCIB, we again declared a $0.05 dividend per share during Q2. On Slide 9, we can talk more about SSR's position as a free cash flow leader and our capital returns. Our continued track record of success has bolstered our cash flows with operating cash flows at $149 million and free cash flow of $100 million during the quarter. We have aggressively repurchased shares through our share repurchase program, buying back $70 million of shares during the quarter and an additional 2 million shares following quarter end in July. Highlights for us so far this year include $177 million in free cash flow in the first half as well as $125 million in capital returned to shareholders in the year-to-date period. We anticipate that our cash flows for the second half of the year will remain strong and will be equally weighted to the first half of the year. We are confident that our capital allocation program provides attractive yields for our shareholders. SSR Mining's free cash flow yield of 10.9% is well above the peer group at 4.2%, and SSR's capital return yield of 3.5% for the year-to-date period is already above the projected mid-cap yield of 3.4% for the entire year. We are looking forward to continuing our track record and delivering consistent financial and operational results. Our capital allocation priorities include investing in growth, returning cash to shareholders and maintaining balance sheet strength. The combination of a leading returns and significant free cash flow generation differentiates SSR Mining. We will continue to execute on our priorities, both financially and operationally as we move through 2021. Stu will walk you through the operational highlights, starting on Page 10.
Stewart Beckman: Thank you, First off, ESG. The never-ending drive to improve EHS&S through the business continues with all sites showing marked improvement in performance. For the first half of this year, our teams more than halved the recordable injury rate when compared to 2020. With support from third-party experts, we kicked off a program aimed at mapping our pathway to achieving the new commitments made in our recent Sustainability Report, including net 0 greenhouse gas emissions by 2050. Rollout of our new integrated ESG management and information systems is gaining momentum, and all of the sites are now completing Gap assessments against the new standards and are building their compliance plans. Our new standards are aligned to and meet or exceed contemporary expectations and industry standards. Recognizing the organization's effort and performance, our rating was upgraded from BB to A in the latest MCSI ESG report.  The operations are doing a great job of managing COVID. Each site doing so with its own tailored approach. The vaccination rates of our workforce has been good to excellent with over 70% having had at least 1 shot already. Seabee is at 76%, Marigold 41%, Puna 67%; and Copler, an impressive 85% vaccinated. Moving on to operations and growth. The second quarter continued the performance trend from Q1 with strong production numbers and good cost control. We manage the things that are in our control, and so the sites are focused on operational excellence, which includes productivity improvement and cost control. The OE program is in 2 streams; a continuous improvement stream, which is the foundation of reliable and optimized production and cost control. As part of the continuous improvement work, we are currently completing an opportunities baseline across all of the sites. This will identify and collate opportunities and squeeze more out of our existing assets. The opportunities are then being built into our plans and budgets for the rest of '21 and '22. The other part of the OE is an innovation stream, which is looking to step change performance of the operations by application of divergent or disruptive technologies. Our current focus in this space is on the digital opportunity such as AA and AI. We've already had some wins in this area, and so we're stepping up the resourcing. Additionally, we are improving our resourcing and processes in the supply chain space to ensure that we continue to optimize our working capital and input cost position. Moving on to the sites and Copler Slide 11. The Copler sulfide plant continued to process well above design rates, and half 1 was another record half year throughput. The shutdown of autoclave #1 that had been delayed from Q1 was completed as planned and with no surprises. There are no further scheduled major autoclave shutdowns this year. The flotation plant construction and operational readiness activities have now been completed on time and on budget. This fantastic achievement by the project team despite the impose of Covid, is testament to a Herculean effort by some individuals and the company's ability to deliver projects. We are still busy exploring in the Copler district with some good results. We currently have 7 drill rigs at Ardich and plan to issue an exploration update for the project later this month, so keep an eye up for that one. An order of magnitude study for Copler copper C2 is underway. This study aims to leverage the considerable copper-driven mineral value within and immediately adjacent to the reserve and resource shelves that the current mine plan does not exploit. If the study is positive, we plan to request funding and move the project to a prefeasibility study to be incorporated in the Copler District Technical Report, CDMP 21. Ardich will move to a reserve case and be the significant feature of the updated CDMP 21 technical report, which we aim to complete and released by Q1 next year. Let's move to Marigold on Slide 12. Mined tonnes were another record and gold production was within 250 ounces of the previous half year record. Coincidental with the warmer weather, the new KOMATSU PC7000 shovels dropped in reliability in the quarter following what was very good performance in Q1. We fully expect these issues to be resolved. Work to drill and equip dewatering boards continued and the water table drawdown rates look good. Overall, the project is expected to be completed on time. Stripping of the 5 end pits to the north of the property, advanced well with easier than expected mining in the first benches. Exploration at Marigold is mostly focused around the existing pits and is ramping up at Trenton Canyon. Overall, we drilled just over 20,000 meters for the quarter. A second soil sampling program covering areas not previously tested at Trenton Canyon also neared completion. We plan to provide an exploration update release for the Greater Marigold Project before the end of this year. Move to Slide 13. Seabee's quarter was outstanding, delivering record quarter and half-year production. An unexpected very high-grade zone was encountered at the bottom of the Santoy Lower 9 zone at the edge of the resource model. Mine design is being modified to reestablish access to allow further exploration testing of the area and to regain access for mining operations, which we are targeting for early next year. The Seabee operation is mine rate limited. Throughput was slowed for the Seabee plant during the periods of very high-grade feed, so not to overload the circuits with gold, which is a great problem to have. As a result, there's been a buildup of the mill feed stockpile, which will be drawn down through the rest of 2021 using the plant catch-up capacity. Pleasingly, underlying mine production metrics have also been steadily improving at Seabee with a number of their continuous improvement projects bearing fruit. Exploration within the operating Santoy Mine continued drilling out of the Gap hanging wall and the Santoy hanging wall targets, looking to pull these into reserve and resource and into the mine schedules in the nearer term. Drilling also continued at the distal exploration sites of Mackay North, Joker and Fisher. Additionally, we commenced drilling at Amisk, our other active Saskatchewan exploration site. I will provide an update on this in due course. And something for everyone to look forward to, later this quarter, we will release an exploration update for Seabee, which will include work on the Fisher properties. Moving on to Slide 14. Puna continued to step it up, delivering production records yet again. Good production and cost control drove the all-in sustaining costs down to $14 an ounce or under $14 an ounce. The changeover to owner haulage from the mine to plant started in April, and the performance has been much better than expectation, helping to reduce operating costs. Planning for Puna is now being redone, assuming better mine performance, higher throughput rates and a lower cost base. Let's move on to Slide 15 for the exploration pipeline. I'm pretty much covered off everything in here with the site discussions. But I just wanted to add a couple of comments on some of the other projects. We have boots on the ground in San Luis in Peru. Some of our team from the Denver and Vancouver-based exploration group are mapping and reinterpreting the area. At Copper Hill, our partner started a summer drilling program. Copper Hill is in the Black Sea region of Turkey. In April 2020, we released exploration results for the property for 8 holes, a number of which had very clean high-grade copper mineralization intercepts close to the surface, including 41 meters at 2.6% copper. This current Copper Hill drilling campaign is aimed at stepping out to test the extensive mineralization. Initial observations are very encouraging, and I aim to get this season's drill results to you before the end of the year, so something else to look forward to. So wrapping it up, it was a good quarter for the business and the operations and growth teams. Thank you very much, and back to you, Rod.
Rodney Antal: Thanks, Stu, and thanks, Alison. Most to look forward to. To summarize, the first half of 2021 has clearly demonstrated the strength of our business and our commitment to shareholder returns. Since the merger, we have delivered record productivity across the portfolio, reinforcing SSR Mining's appeal as a leading mid-tier gold producer. With a robust portfolio of organic growth opportunities, we expect to provide a number of exploration updates to the market through the second half of this year. It is our belief that our strong free cash flow, peer-leading capital returns and significant growth optionality will support a premium valuation more appropriately reflecting the quality of our assets and our people.  So with that, I will now pass the line over to the operator to take questions you may have. Thank you, Edi.
Operator: [Operator Instructions]. Your first question today comes from Tyler Langton.
Tyler Langton: I guess just to start, I know you touched on the inflation and I mentioned that I guess the sort of FX was kind of offsetting pressures at Puna and Copler. But I guess in terms of Marigold and Seabee, could you talk about, I guess, sort of for what items you're seeing inflation and sort of how much? And then just a little bit more details on how you're offsetting it and if you have any contracts or hedges that might be helping as well.
Alison White: Thanks for the question. This is Alison. So yes, we do have -- as we stated, we do have sort of offsetting inflation at Puna and Copler and Turkey offsetting inflation to currency devaluation. And at Seabee and Marigold, that's where the part that Stu really touched on in terms of continuous improvement and the activities that we're working on in the business has really helped us to not see as much inflation through that process. And then we do have an active hedge program within the organization, and we are constantly reevaluating if those hedges are meaningful for the organization, and we will continue to do that.
Tyler Langton: And then I guess with Copler, I guess versus my numbers, it looks like the growth CapEx and sustaining CapEx was kind of a little below sort of the annualized for the full year, should that pick up in the second half? And then I think in the MD&A, there was also some mention about waiting for sort of permits for the flotation circuit and then, I guess, Stage 4 for the tailings. I don't know if that's related to the CapEx at all, but just sort of any details there would be helpful.
Rodney Antal: I'll just touch on the permits first, and then I'll pass over to Stu and Alison to talk specifically about some of the other questions. But yes, look, we are waiting for the final permit at Copler for the flotation circuit. Clearly, we've had a long track record of success in the country of getting permits, and we are -- while the process doesn't always equate to our needs. We've always been able to get them in the past. It's been more perverse definitely with Covid when impacting the governments and their push to get things done. But we know that the permits are now awaiting final signature and we expect them soon. So that should come here pretty shortly. So just on the other questions, I'll let Stu and Alison talk about it.
Alison White: Tyler, I'll touch on the CapEx questions that you have. And we do anticipate that as the year continues we will spend what we're anticipating or what we were originally planning for and what we are anticipating we will spend. So look to see that maybe uptick a little bit as the year progresses.
Stewart Beckman: I think we've pretty much covered it off, Tyler. So our expectation is that we'll spend the exploration work as well that we planned. The capital we're finalizing all of the incoming capital. We think we've ticked and tied everything for the flotation plant now, and we won't get any surprises out of that.
Operator: Your next question comes from Cosmos Chiu with CIBC.
Cosmos Chiu: First off, congrats on a very strong Q2. Maybe my first question is also on Copler here right on permitting. I just want to get a sense. It sounds like there's been a delay. But I guess, my question is 2 parts. #1, it sounds like you've already started the water runs and also some of the commissioning work at the flotation. So could you maybe talk about what permittings are still needed? And when should we start getting a bit worried in terms of timing? And then the second part is in terms of the Stage 4 tailings, as you said, there's been a slight delay as well. Could you talk about the capacity right now tailings capacity with Stage 3? And when would you need that Stage 4 capacity?
Rodney Antal: I'm going to pass that one over to Stu. So there was like, I think, 4 parts to that question. So make sure --
Stewart Beckman: With regards to the flotation plant. We are waiting for the update of the EIA for Copler. And then after that, we have an operating permit, which normally takes a couple of weeks to get the EIA. Our understanding, we believe that the EIA has passed all of the bureaucratic processes through the department and is now with ministerial office. So we hope it's not too long. Like everywhere, everything is being closed down and -- for Covid. And then we've just had the big religious holiday, the Muharram holidays. So everything sort of pretty much stopped. So we're waiting for people to get back up to speed coming out of that. So hopefully, it will come soon.  We're putting a mitigation process. So we're dealing with the blends that we've got in front of us that -- in the best way that we can with the material that we've got. And we believe that at a stretch, we'll make it into guidance even if we didn't get the permit. So we're pretty confident that we'll get there. And it will be coming soon, we hope. What was the other part of your question? It was very long.
Cosmos Chiu: Sorry, I'll keep my next questions to 1 or 2.
Stewart Beckman: Yes, with regards to the tailings. So we've got all of the [indiscernible] requirements at this stage. And there's a small piece of land in the next stage which we require to get for the next phase. And that's required. I'd have to go and check my notes, but it's not -- I think it's somewhere about August 23 that, that's required by. So we're working to ensure that we've got those in good time. We're obviously always busy. We're going to get those well in front of what we need.
Cosmos Chiu: And Stu, I guess the other part of my question was how much tailings capacity do you have right now? And when would you need the capacity coming from Stage 4?
Stewart Beckman: As I said, not until into 2023, we're a long way -- Cosmos, we're building -- we're constantly building the tailings, in front of us, and we're well ahead.
Cosmos Chiu: Maybe switching gears a little bit. Coming back to Seabee. I noticed that the head grade in the quarter was spectacular at 13.19 gram per tonne. I guess, the first part of my question is, is that sustainable? And part 2 is, it sounds like it was a positive grade surprise to you as well on the Santoy Lower 9. Could you talk about, was it positive grade reconciliation to your block model? And if it was, how much of that -- how positive was it?
Stewart Beckman: Yes. So we had a positive reconciliation not just in that area, but in the mine. We do get these from time to time in the mine. It was very positive, and it was on the edge at the very bottom of the resource. So it is positive in that we're drilling out and we will probably get to extend out beyond what's in the current reserve. But we don't know how much that will be yet because that will be your next question, until we finish the drilling. So we're putting in a drive now to -- we've already put a few holes into it, but we're putting in a drive now to get some more drilling into it. And then we're gaining and putting in another drive to gain access to get back in and do some more mining next year. But that -- there were areas that were spectacular grade. Generally, that stock came out at over 15 grams a tonne.
Cosmos Chiu: And could you maybe comment on the potential grade for the second half for Seabee or not at this time?
Stewart Beckman: No, I don't want to speculate.
Cosmos Chiu: And then one last question maybe on Marigold here. Again, Q2 grades were good. First half grades were good. What should we expect for potentially in the second half? And then on that, I believe, if I were to work out, it's always tricky with heap leaches. Well it looks like the first half recovery was about 81%. If you are expecting potentially lower grades in the second half, could that impact recovery as well?
Stewart Beckman: Yes. You're right about the recoveries. So we're running 3 heaps at the moment of various lengths. So the breakthroughs range anywhere from 50 to 4 days, depending which heap we're stacking and leaching from. So -- but overall, the grade for this half will be the same as it was for the first half.
Cosmos Chiu: And then maybe one last question to kind of wrap it up. I don't want to beat a dead horse, but the new 'I' word seems to be the new effort these days and that's inflation. In terms of inflation, you talked about currency impact offsetting inflation. We've also heard from some other companies. It seems like labor, there's cost pressures; energy, there's cost pressures; other input costs, there's cost pressures. Could you maybe comment on the different areas? What are you seeing the most potential cost pressures at some of your different operations here? Is it labor? Is it energy cost? What are we talking about?
Alison White: So we are seeing some cost pressures in relation to diesel. And we have not necessarily experienced some of the same labor pressures that others have talked about but we will be continuing to reevaluate that. Some of our other input costs, we are currently actually in the process of renegotiating for cyanide and things at a few of our sites. So we have not experienced some of the same inflationary pressures that some of our other companies are seeing.
Operator: Your next question comes from Ovais Habib with Scotiabank.
Ovais Habib: Congrats on a very solid quarter. A lot of my questions have been answered already, but just maybe just wanted to see in regards to Covid in Turkey, any sort of impact at Copler that you're seeing and any kind of mitigation factors that you're putting in place?
Stewart Beckman: Copler has done an outstanding effort in managing it. And the Turkey shelf systems actually very good as well for anyone that's been there. We have an isolation process coming on site. So we have almost immediate turnaround with our own medical staff coming in to site, testing people for a PCR test and also an antibody test. If you carry enough antibodies and you're PCR clear, you can access site immediately. Otherwise, you go in quarantine for a week, and then we retest you before you get back on the site, and they're still running that protocol despite the fact that they're 85% immunized across both the workforce and the contractors on site. So they've really done an outstanding effort there and have managed it very well.
Ovais Habib: And just kind of I think causes kind of pushing towards looking at how Seabee is looking in the second half, how kind of Copler is unfolding. And Marigold, you said kind of Marigold is going to be flattish, I would say, just based on the grade going into the second half. I mean, in terms of what you produce to date, it's about 395,000 ounces, top end of guidance is close to, let's say, 800,000 ounces. If Seabee does get some good outperformance and Copler gets the flotation going, do you expect to kind of hit over that guidance level? Is that why you're being conservative to see how these things perform before you start talking about achieving over and above your guidance?
Rodney Antal: No, I think as we sort of said in the script, So, for the larger operations, which is both Marigold and Copler, we're tracking more towards the mid-quarter guidance. And while Puna and Seabee have certainly shown well in the first half, it doesn't necessarily translate that we're going to go through the top. So if quarter 3 turns out again to give us some positive surprises, then obviously, we'll reassess it. But at this stage, we're saying we'll be in that sort of that guidance range that we originally put out.
Ovais Habib: And just moving into -- on the exploration side. You said that we're expecting a couple of updates in terms of exploration over the next month or so. Is Rod's focus still near mine exploration, looking at additional satellite beds and kind of improving the confidence in reserves and resources at Seabee?
Rodney Antal: Yes. It's both. So our main focus is near mine in order for us to be able to convert. So at Seabee, it's Santoy and the Gap hanging walls because they're the next door source. But we're also stepping out to extend those. One of the things that we want to do is -- and we're putting more resources into it is extend our horizon, our time horizon at Seabee so that we can plan in the longer term rather than having a sort of a rolling shorter reserve because the belief is that everybody that has anything to do with Seabee is that we've got a much bigger resource there. It's just that we haven't defined it. And if we have a better understanding of the extent of the mineralization then we can plan for expansion of the mine and sort of longer capital when look at the mine through a different paradigm. So that's pretty exciting. Certainly, at Copler, we've got the work that we're doing on the copper mineralization that sits in and around the existing resource and reserve shelves. This was never valued in the value of the ore coming to the plant because at the moment, we don't recover it, even though the plant was designed to be able to tack on a copper recovery circuit at the back end. But we're looking at that again through a different paradigm of what do we -- what happens if we recover that copper coming in. So with a flotation plant, perhaps producing a pyrite concentrate, which we then supplement the feed going to the autoclaves and push our overall production up and produce copper from the circuit. So that's pretty exciting. That's just coming out shortly. We're going to share another -- I think it's just under 200 holes.  They're both holes that were infill holes in the resource, bringing up the confidence levels in the resource and the reserve for Ardich. And then also step out holes, where we're extending outside what was previously published for the resource there. And then we're already working on it. Those -- that data will be included in the work that we do and we're updating the technical report for the Copler District Master Plan, as we call it, and we'll roll that out at the beginning of next year. So what you saw the extra million ounces and almost $500 million in NPV should become -- go into reserve, grow a bit and then make it into the base case of the valuation for the business. So we've got quite a lot of work going on at the moment, pushing that out. And of course, all of the work going around Marigold as well. So we've got both immediately adjacent to the current workings and then we're really picking up what we're doing down at Trenton Canyon as well.
Operator: Your next question comes from Mike Parkin with National Bank.
Michael Parkin: Congrats on the quarter. Just a couple of follow-up questions. With Trenton Canyon, where does that stand with regards to permits? Does the fact that it's an old historic site, are those permits still intact? Or would you have to go through a permitting phase to restart operations there?
Stewart Beckman: So there are some permits there. But what we're doing at the moment is re-exploring the area as well. So it will depend what we find and what we want to develop and what we need to -- what we decide we want to do down there. So I can't answer your question at the moment.
Michael Parkin: And then with regards to Marigold as a whole. The last study back from 2018 show there's a production dip in 2024 and 2025. But since then, you've picked up a couple of little pieces of land within the main mine plan area as well as ongoing exploration success and then a little bit of a change here at the water table, which pushed some of the higher grade tonnes that went into, it seems 2022, 2023. So do you guys see a potential where that dip could be softened if not eliminated?
Stewart Beckman: The answer is yes. We're going to issue a 3-year guidance at the end of this year, which will give our updated life of mine plan across those years that you're asking about. And we've started planning to do the work, to do an updated technical report, and we'll call it the Marigold District Master Plan, which takes into account all of the things that we think we're going to do to develop Marigold as a whole property. 
Rodney Antal: The other thing we said, Mike, this is a common theme across the portfolio, while all Copler is relevant because we put out the last tech report just last year. The other operations also need that refresh. So that's part of the investment into these tech reports to refresh ourselves and also the market, obviously, about what the assets actually look like rather than sort of talking about stuff that's really 4, 5 years old.
Michael Parkin: And with Copler, so that update from the last update we got, we had some high-grade ounces there at the back end of the mine plan just because of the category they sat in. Now with this update coming, those would be coming into reserve, it sounds like. So we could have those properly sequenced move forward ahead of stockpile processing. Is that correct to assume?
Stewart Beckman: Yes, of course. And that's how it would be scheduled. The only reason they sat at the back end was, we didn't want to displace reserve material with the material from Ardich some of which was only at a third category because it offsets the regulators. So it would naturally be sequenced into the plant as soon as it was available.
Michael Parkin: And then final question for me with Seabee, you're getting some great surprise. Does that -- from what I recall, you actually have a massive amount of gold at that deposit that comes through as free gold and comes out in the gravity circuit. Does the grade reconciliation tend to sit with that type of mineralization, where it's better free gold than expected, maybe a negative effect? Or is it something else that kind of surprises you to the upside when that happens?
Stewart Beckman: We do get surprises to the upside at Seabee, and it is difficult to predict the line on as all Magadi [ph] vein-hosted gold deposits are. Our reconciliation in the plant is always very high. The recovery is always very high. But the reconciliation tends to be high positive, and we tend to get positive surprises from time to time. Naturally, when you go through and do the work for the resource estimation, if you have unusual highs, they usually get smoothed out. So it's not to overestimate.
Operator: We are showing no further questions at this time. This does conclude our question-and-answer session today. Thank you for participating. You may now disconnect your lines.